Operator: [Audio Gap] 
 and at our Analyst Day presentation. We continue to balance financial strength, leverage, profitable growth and capital return to shareholders for the long-term success of the company. 
 Now let's look at the financial and operating highlights for the quarter on Slide 5. For the third quarter, adjusted operating earnings of $5.16 per share reflects the strong fee income from our growing variable annuity account balances. Retail Annuity fee income increased 24% compared to last year's third quarter. With over $240 billion in annuity assets, we benefit from a level of profitability and scale that supports our business growth plans and capital return targets. 
 Third quarter adjusted operating earnings reflected the natural market sensitivity and deferred acquisition costs, or DAC, amortization. As a reminder, market-related DAC volatility is expected to change with the adoption of the new GAAP accounting standard referred to as LDTI, which will be effective in the first quarter of 2023. 
 At that time, DAC will no longer be expensed as a percentage of profits, and we would expect less volatility due to the market changes. Marcia will speak to DAC in our financials in more detail later in this presentation. 
 Jackson's return on equity continues to exceed 20% due to the quality of our in-force book. We expect our Retail Annuity segment to drive further profitability and growth as we benefit from an increasingly diverse set of products and features as well as our focus on expanding distribution. 
 During the third quarter, we completed our term loan draw as planned and contributed over $1.5 billion to our operating companies, putting us within our target leverage range and above our target RBC ratio range. We believe our strong balance sheet and free cash flow position provide us with valuable capital flexibility. 
 As I mentioned, our business did not skip a beat as we successfully executed our demerger. For the third quarter, annuity sales were $4.8 billion. And in October, we introduced the Jackson Market Link Pro product suite. Our new Registered Index-Linked Annuity or RILA product. We've received positive feedback from our advisers regarding this competitive differentiated product as well as the enhanced digital experience provided with this product launch. Jackson Market Link Pro meets policyholders demand for market participation, subject to a cap with protection on the downside. 
 Our fee-based annuity business continues to grow, with third quarter 2021 sales of $330 million, up 18% from the prior year. Sales of Elite Access Advisory II, our fee-based investment only variable annuity were the key driver of the growth. The RIA channel represents $5.7 trillion in assets with an expanding presence in the annuity market. 
 We continue to focus on expanding distribution through independent RIAs. We also recently entered the defined contribution market as a provider within the lifetime income strategy offered by AllianceBernstein. Jackson is one of several insurance providers selected to offer a lifetime income solution for participants at the time of retirement. 
 The defined contribution market represents significant opportunity, and we look forward to partnering with retirement plan sponsors looking to address both income protection and longevity risk for their plan participants. The AllianceBernstein relationship is part of our focused strategy to expand our commercial opportunities and meet market demand for protected retirement solutions. 
 The total industry annuity sales for the first 9 months of 2021 were the strongest year-to-date period since 2008 with every single annuity category up from the prior year. This provides a very strong backdrop for further growth in our Retail Annuity business going forward. 
 And now I'll turn it over to Marcia to provide more details on our third quarter financial results. 
Marcia Wadsten: Thank you, Laura. Looking at our results on Slide 6. We continue to generate significant levels of adjusted operating earnings. As Laura just mentioned, our fee-focused business mix benefited from higher average separate account balances, driving higher fee income. However, this was more than offset by higher DAC amortization in the current quarter, resulting largely from lower separate account return compared to the prior year. 
 As a reminder, we believe that Jackson has taken a conservative approach to the treatment of guarantee fees within our definition of adjusted operating earnings as all of the fees are moved below the line with no assumed profit on guaranteed benefits included in adjusted operating earnings. On a year-to-date basis, strong adjusted operating earnings, combined with positive nonoperating income, resulted in a growing book value. 
 Slide 7 outlines the notable items included in adjusted operating earnings for the third quarter, starting with the acceleration and/or deceleration of DAC. To provide a little more background, the amortization of DAC is a key item for our results given our annuity focused balance sheet. And operating DAC amortization has several components. For clarity, our financial supplement reports DAC amortization split between core amortization, which is driven primarily by our pre-DAC gross profits for the period. As well as any market-related acceleration or deceleration of DAC, which results from the pattern of separate account returns over time. 
 Additionally, we will break out the DAC impact from our annual assumption review, which will be provided in Q4. In the third quarter of 2021, there was an acceleration of DAC amortization, resulting in $63 million of additional DAC expense in the quarter. This was primarily due to slightly negative separate account returns in that period, which fell short of the assumed return. In the third quarter of 2020, there was a deceleration of DAC amortization, resulting in a pretax $125 million reduction in DAC expense, primarily due to a 7% separate account return in that period, which significantly exceeded the assumed return. 
 As a result, the market-driven DAC effect was a net drag of $188 million on a pretax basis when comparing third quarter this year to prior year third quarter. In terms of future DAC acceleration or deceleration for modeling purposes, we have provided additional details on the mechanics of the DAC amortization calculation within the appendix of this presentation, which aligns with our financial supplement. 
 As Laura noted, this is expected to change with the adoption in the first quarter of 2023 of LDTI under GAAP accounting. We expect to be providing more information regarding LDTI impacts in the middle of next year. Additionally, we would note that both third quarters included strong limited partnership income, which is reported on a lag and can vary significantly from quarter-to-quarter. Limited partnership income in excess of long-term expectations with $98 million in the current quarter compared to $63 million in prior year's quarter, creating a comparative pretax benefit of $35 million. We continue to see positive momentum and limited partnership performance, but do not expect Q4 to be as robust as Q3. 
 Additionally, with respect to Q4, as we stand today, we expect our operating effective tax rate to be similar or slightly higher than the third quarter's 15%. Another important item to consider for the fourth quarter is the conversion of existing Prudential plc share-based awards over to [ JX Venture ] based awards. In Q4, share-based awards will increase our diluted share count by 7.2 million shares, and will be partially offset by any shares that we repurchase over the fourth quarter. 
 Slide 8 illustrates the reconciliation of third quarter 2021 pretax adjusted operating earnings of $571 million to pretax income attributable to Jackson Financial of $190 million. As shown in the table, the total guaranteed benefits and hedging results or net hedge result was negative $593 million in the third quarter. As we've noted, net income includes some changes in liability values under GAAP accounting that we consider to be noneconomic, and therefore, will not align with our hedging CapEx. 
 We focus our hedging on the economics of the business as well as statutory capital position, and choose to accept the resulting GAAP below the line volatility. I would also note that while this was a loss in the current quarter, it was a small gain of $73 million for the year-to-date period. 
 Starting from the left side of the waterfall chart, you see a robust guarantee fee stream of $728 million in the third quarter, providing significant resources to support the hedging of our guarantees. These fees are calculated based on the benefit base rather than the account value, which provides stability to the guarantee fee stream and protects our hedging budget when markets decline. 
 As previously noted, all guarantee fees are presented in nonoperating income to align with the hedging and liability movement. Net reserves and embedded derivative liabilities for guaranteed benefits are defined by both SOP-03-1, which calculates the insurance contract liabilities using longer-term assumptions. And by FAS 157, which calculates the embedded derivative liabilities using current market input. 
 This quarter's loss is primarily the result of FAS 157 accounting for the increase in implied volatility over the third quarter. This implied volatility impact is an example of where our hedging approach and the GAAP treatment of liabilities are not aligned as we do not explicitly hedge implied volatility but rather focus on realized volatility under market shock. 
 We included a slide in the appendix, which shows the key and macroeconomic drivers of the GAAP net hedging result and how changes in these macro items may lead to noneconomic gains or losses due to the lack of alignment between our hedging approach and GAAP accounting. 
 Now let's switch gears and look at our segments, starting with Retail Annuities on Slide 9, where we see our healthy sales trend. We continue to have strong levels of retail sales driven this quarter by growth in variable annuities without lifetime living benefit. Sales of Elite Access, our investment-only variable annuity increased to 71% from the prior year's quarter. And sales of other variable annuities without lifetime benefit guarantees were up 33%. 
 While sales without lifetime benefits increased from 23% in third quarter of last year to 33% in the third quarter of this year, we expect this percentage may vary through time based on market conditions and customer demand. Our total annuity market share highlights our consistent presence in the market, our strong distribution relationships and disciplined approach to pricing and product design. 
 We expect these attributes to be supportive of the recent launch of our RILA product. We view this as an important product launch, capturing the economic diversification benefit between a RILA and a traditional living benefit variable annuity as well as capital efficiencies through RILA account value growth alongside our large, healthy in-force traditional variable annuity block. 
 Looking at pretax adjusted operating earnings on Slide 10. We are down from the prior year third quarter due to the market-driven DAC impacts I detailed earlier. Importantly, earnings were up from the prior year quarter outside of that impact. This was the result of higher separate account assets as the third quarter 2021 variable annuity ending account value was up over 20% from the third quarter 2020 ending account value, primarily due to strong return. 
 As a reminder, we have investment freedom on our variable annuity product, allowing both policyholders and Jackson to more fully capture the benefits of rising equity market. While fixed annuity and fixed indexed annuity account values are minimal after accounting for the business we insured to Athene, they did grow during the period as well. Sales remained low, but the Blackheads low surrender activity, given the business was recently issued, meaning sales largely contribute directly to positive net flows. 
 We will have a similar dynamic on RILA sales going forward as we are starting from scratch following our October launch. This gives us multiple levers to grow and diversify our book going forward. 
 Our other operating segments are shown on Slide 11. We suspended Institutional business for new sales starting in early 2020 as we began the separation process. And this has largely continued through the third quarter of 2021. This led to significant outflows as existing business has run off throughout the year, with account values declining from $12.3 billion a year ago to $8.8 billion as of the end of the third quarter. 
 Now that we have completed our separation, we expect to return to the market with new issuances on an opportunistic basis. Our pretax adjusted operating earnings for the Institutional segment of $21 million during the third quarter of 2021, was down from $26 million in the third quarter last year due to the declining account value of the segment and lower reinvestment yields over time. Going forward, the earnings should largely track the account values. 
 Lastly, our Closed Life and Annuity Blocks segment reported a slight increase in pretax adjusted operating earnings. This reflect the lower levels of benefits paid, partially offset by lower premium income. Absent future M&A activity, the earnings should trend downward as the business runs off over time. 
 Slide 12 summarizes our robust capital position as of the end of the third quarter 2021. This strong position has given us the confidence to provide detail on the form and timing of our capital return. Given our strong cash generation, we are pleased that the Board authorized a dividend program, which shows our confidence in the level of cash return going forward. The fourth quarter cash dividend of $0.50 per share corresponds to a cash outlay of roughly $50 million for the quarter at our current share count, a healthy level of cash to shareholders. We also announced a $300 million share repurchase authorization, which we believe will allow us sufficient capacity in combination with the dividend to deliver our $325 million to $425 million cash return in the first 12 months after the demerger. 
 The share repurchase authorization has the benefit of allowing us to be opportunistic in cash return given our current valuation. The number of shares to be repurchased and the timing of such transactions will depend upon a variety of factors, including market conditions. 
 During the quarter, we completed the term loan draw and contributed the majority of the proceeds into our statutory operating company. The remainder was retained at the holding company, providing us with over $800 million of cash, well above our minimum liquidity target. It is also important to note that following the draw, our total GAAP leverage was at 23.5%, within our 20% to 25% target range. We expect to refinance the 2 term loan facilities by the end of the year. 
 Following the capital contribution, Jackson National Life Insurance Company grew its total adjusted capital position to $6.8 billion, up from $4.4 billion as of the end of the prior quarter. Not only did the capital position benefit from the capital contribution, but also from meaningful in-force capital generation, continuing the trend from the second quarter. The estimated RBC at Jackson National Life as of this quarter was above 525%, up from the 500% to 525% pro forma RBC that we reported as of the prior quarter, continuing the growing RBC trend we've seen throughout 2021. 
 This means that we are above our 500% to 525% adjusted RBC target, looking solely at the operating company, and without taking any credit for the current level of excess capital at the holding company. 
 So in summary, it was a very successful quarter. We completed our term loan draw, provided further clarity on our current and future capital return program and have ample holding company liquidity. With our robust capital levels at the operating company, we are well positioned for the future. 
 And with that, I will turn it back to Laura for closing remarks. 
Laura Prieskorn: Thank you, Marcia. We had a remarkable quarter when factoring in the successful completion of the demerger, the diversification of our distribution and product offering as well as positioning the company to deliver on our financial targets. 
 As we work to meet the growing demand for the retirement savings and income market, we remain focused on supporting financial professionals, providing award-winning service to our customers and delivering value to all of our stakeholders. 
Unknown Executive: At this time, we'd like to open up our call for Q&A. Maxine, could you take our first question? 
Operator: [Operator Instructions] Our first question comes from Tom Gallagher from Evercore. 
Thomas Gallagher: The first question I had is just on -- if I add up the common dividend of around $200 million annualized and the $300 million of buyback, that gets me to $500 million. That's above your initial capital return guidance. And I realize there's like timing issues here. 
 But would you say the $500 million is a level you would expect you could sustain based on excess capital generation? Or does that include any drawdown of your current access? 
Laura Prieskorn: Thanks for the question. I'll just make a general remark and then turn it over to Marcia to address the capital return outlook. But certainly, with the announcement, we wanted to provide a balanced return of capital that's rooted in the expected cash generation of the company. We recognize the value of both options for sure. 
 But I'll turn it over to Marcia to get to the longer-term part of the question. 
Marcia Wadsten: Sure. Thanks, Tom. Yes, I mean, you're correct in terms of how you're kind of putting the numbers together there and in noting that there are timing or practical considerations around these returns. But we really wanted to come out with the shareholder dividend that speaks to our longer-term view of the business and the ability of us to generate sustainable cash returns going forward into the future. 
 And we're looking at the share repurchase at $300 million as pretty significant programs that will translate to about 10% of our current market cap, which is high relative to industry norms. And it's also size, we think, appropriately, given those practical considerations around the regulatory requirements and trying to work within the time frames that we've put forth. 
 But I think in terms of how that translates into future capital return, of course, that's necessarily going to be dependent upon future capital formation. But -- and that will be obviously somewhat dependent upon market. But I think what we've set out here is something that we feel really is a good reflection of our views of types of capital generation that we think the business will generate. And is in line with the kind of robust levels we saw in the period, more recent period, prior to when we were preparing for the demerger and working through the COVID market condition. So we see that, that aligns reasonably well with how the business has performed in the past. 
Thomas Gallagher: Okay. And would you say -- is it fair to say the $300 million share repurchase is going to be the variable component, and that's going to be more market dependent? Or do you believe under most plausible market scenarios, $300 million of buybacks would appear to be sustainable based on what you think is kind of a sustainable level of cash flow generation in the future above your targets of RBC and excess holdco cash? 
Marcia Wadsten: Well, it certainly will be market dependent. I think that's true. But as Laura mentioned, we really did want to have a balanced approach with both a dividend and a longer-term commitment component, balanced along with repurchase activity. So we would expect to have a balance somewhat similar to this as we move forward in time. But certainly recognize that the share repurchase component of it is a little bit more opportunistic in nature and market consistent. But I think -- or market sensitive, but I think it's consistent with kind of our view of the capital generation potential within the business. 
Thomas Gallagher: Got you. And then just one quick follow-up. The $600 million of statutory net income in the quarter. Would you say that's a decent run rate to think about if markets are benign like they were this quarter, where you don't have much in the way of derivative gains and losses? Or was there anything unusual that broke positive or negative when we think about what might be trendable in terms of statutory net income? 
Marcia Wadsten: Yes. That's always a little bit challenging because it depends so much on the position of the business and, like you say, the market environment that develops over the period. But I think in generally benign markets, what we -- I can't point to anything, I think, notable or exceptional to raise in terms of how the statutory capital generation developed over this past quarter in the context of the market environment that we had. 
Operator: Our next question comes from Ryan Krueger from KBW. 
Ryan Krueger: My first question was on the additional 7.2 million shares that will come into the share count in the fourth quarter. Will that be -- will that come into the common share count or just the diluted share count? And I'm just asking to get a sense of how it impacts the amount of dollars associated with your dividend. 
Marcia Wadsten: That will be coming into the diluted share count. 
Ryan Krueger: Got it, but not to common? 
Marcia Wadsten: Right. 
Ryan Krueger: Okay. Can you discuss how your variable annuity lapse assumptions compared to the NAIC's full requirement in the standard projection? And then just any sense of how you've seen lapse rates trend over time? 
Laura Prieskorn: Sure. So I guess I would say, first, with respect to the VA lapse assumptions that we would have in our results. We have a significant block of VA business. So we have the benefit of having a very vast set of experience data to use to inform our assumption setting process. And the nature of VA lapse assumption is fairly complex, driven by a lot of different factors, I think, which is, I think, consistent with what you would see across the industry. 
 The standard projection, I'll say, is -- as you know, it's kind of a guardrail test around prescribed assumptions relative to a company's assumptions. And I would say just in general sense, the result we see when we test that set of prescribed assumptions relative to our own company assumptions is that, that does not generate any additional reserves or capital requirements, indicating that we're not meeting anything additional to kind of meet the requirements of the regulatory assumption set. 
 And I guess with respect to trends over time, I mean, this is one where, as I said, there's a lot of factors that go into the assumption structure and the drivers of that, which -- some of which are going to be market dependent or the age of the block dependent. And I would say, generally, what we've seen in our experience is aligns with those kinds of features. And I'd just note that in the financial supplement, we do have an aggregate lapse or lapse/surrender withdrawal activity rate that's shown. 
 And while that's simplified relative to the assumption structure as a whole, I think you'll see that, that shows our experience in the most recent quarter is quite in line with where it was a year prior. 
Ryan Krueger: Got it. And then just my last one was, given that the NAIC has some proposals to change their interest rate generator, can you give us some level of sensitivity that your RBC ratio would have to the longer-term statutory mean reversion rate that's currently embedded in the NAIC's model? 
Laura Prieskorn: Sure. I guess I'd say, first, the potential scenario changes that may be coming, I think, are not well-defined yet. So that's something that we'll be watching as we move into 2022. I believe there'll be field testing in the early part of the year that we'll be able to participate in. That will give us a little bit more transparency, I guess, into the potential set of changes. 
 But under today's scenario structure and requirement, there is, as you noted, that mean reversion parameters that automatically gets updated at the first of each year. So we are expecting for 2022 that, that parameter will reduce to 3% from 3.25%, where it is today. It has decreased in the current year to 3.25% from 3.5%, where it was in the prior year. And we had a modest impact to our RBC. When we made that change at the beginning of this year, and we expect since the magnitude of the MRP reduction is similar, that will be a similarly manageable change for RBC ratio as we move into 2022. 
Ryan Krueger: Was -- am I correct that the magnitude was about 20 to 25 points last time? 
Laura Prieskorn: That's correct. 
Operator: Our next question comes from Nigel Dally from Morgan Stanley. 
Nigel Dally: Can you comment on where you stand with considering other actions to accelerate the pace of capital return, in particular, several companies have executed risk transfer transactions to free up capital on some of their older annuity blocks. Just wondering whether that's also an opportunity for Jackson that you're actively looking to pursue. 
Laura Prieskorn: Yes. Nigel, we considered and executed on reinsurance transactions in the past. We would be open to transactions, if they were on terms that were beneficial to our shareholders and certainly, to the long-term profitability of the company. 
 Marcia, I don't know if you would have any other remarks related to that topic. 
Marcia Wadsten: Sure. Thanks for the question, Nigel. I guess when we look at our business, we have obviously the large VA block. We have already reinsured a significant component there of the fixed to fixed indexed annuity last year. And then we've got look, Closed Life business that we have on the books as well. I guess thinking about the VA and the life components that we have. One of the things that we've thought about with respect to the VA block, is just the fact that what we've typically seen in the market has on the in-force side, been more focused on blocks that are less healthy and maybe come with large reserves or capital requirements that can be released over time. 
 And we're really comfortable with the VA pricing and the position of our in-force book. So while as far as Laura said, we certainly be open to considering opportunities, we would really have to be compensated for what we think is the value of that business in a way that is doing the right thing for our shareholders. 
 And then, I guess, with respect to the life block, that does provide us with diversification benefits that are valuable to us, both in terms of the source of earnings being mortality based. And in some parts of that block being spread-based as well. And it also provides diversification benefits within the capital requirement, statutory capital requirements. 
 So we do see that block as valuable to us, and we note that, that diversification is viewed favorably by rating agencies. So here again, we'd certainly be open to transactions, but there is some significant value to us in that business. So that would have to be taken into account in the terms to make it favorable and in the best interest of the shareholders. 
Nigel Dally: Great. And then just a follow-up on the buybacks. Can you also comment on the nature of those buybacks? Would they more likely be regular open market repurchases? Or would you also consider block transactions from some of your larger holders? You indicated the preference not to be long-term holders of the stock. I think the issue of overhang has been an issue which has come up time and time again with investors. So is the buyback program, something which potentially could address that? 
Laura Prieskorn: Yes. In general, we haven't limited ourselves to any precise method of repurchase in order to make sure we have the maximum amount of flexibility to execute. 
Operator: [Operator Instructions] Our next question comes from Erik Bass from Autonomous Research. 
Erik Bass: Can you discuss how you're planning to manage holding company liquidity going forward and your expectations for bringing dividends from your insurance subs up to the holdco over the next year? 
Laura Prieskorn: Sure. Thank you, Erik, for that question. So we -- as we've disclosed here, we have holding company cash currently in excess of the $800 million. And we have previously disclosed that we would want to maintain a minimum buffer there at about 2x annual fixed expenses. As far as looking forward, we know that we have dividend capacity within the operating companies that will be fully defined as we progress through the end of the year. 
 But we have the capacity there, and we'll look to be able to pass cash up from the operating company as capital is generated in that. And provide that liquidity at the holding company level, and we also have sources -- other sources of available liquidity, if needed. And then with the liquidity we do have at the holding company, we would obviously look to kind of prioritize that across the various priorities that we've disclosed around maintaining our financial strength and optimizing leverage, new business investment at appropriate margins and of course, capital distribution to shareholders. 
Erik Bass: Got it. That's helpful. I guess I was wondering, should we expect that in the near term, you're going to run with a sizable buffer similar to kind of where you are sitting today? 
Laura Prieskorn: I think we would want to obviously maintain that roughly $250 million level of buffer or minimum. And then I think naturally, there might be some buffer above that, but I don't think we have anything we would disclose at this point in terms of specific plans of what that level would remain at. 
Erik Bass: Okay. And then I was hoping you could talk about your expectations for the new RILA product that you recently launched. And how quickly do you anticipate sales ramping there? And do you expect this to all be incremental to volumes? Or will there be some cannibalization of sales from other products? 
Laura Prieskorn: Well, we're definitely excited about our RILA launch. We're in the market with a competitive product that we know has differentiated features. And as I indicated in the presentation early on, we've received good positive feedback from advisers. We haven't disclosed any sales projections, but we are recognizing that RILA has expanded the market overall. And with the demand that we see, we think there's lots of space for Jackson to enter this market and continue to meet that growing consumer demand. 
Erik Bass: Got it. And then last one, just hoping you could talk about the outlook for corporate expenses going forward. And presumably, you'll have higher interest expense starting in the fourth quarter. But are there also any other incremental higher costs relating to being an independent public company that aren't in kind of the run rate expense right now? 
Laura Prieskorn: Yes. Sure. Chad, do you want to take that one? 
Paul Myers: Sure. I think with that, we'll have some pluses and minuses there. Obviously, we've got some expenses that we've been running through the process of the demerger. So that's been pushing expenses a little bit higher. So we'll get some reduction coming off of that. Offsetting that, you're going to get higher expense from just -- we have a holding company we didn't have before. 
 So there's [ low income ] expenses there. There's interest expense and similar types of activities. So I think broadly speaking, we're not expecting any really big movements in corporate expenses there. But they might trend a little higher net-net with -- specifically with the interest expense. 
Operator: [Operator Instructions] We have a follow-up question from Tom Gallagher from Evercore. 
Thomas Gallagher: Just a follow-up on Nigel's question on risk transfer. I just want to make sure I've got -- your response is clear in terms of, at least my understanding of them. So are you actively exploring risk transfer of variable annuities in life insurance right now? It sounded to me from your answers that it was less likely that you're sort of proactively pursuing something currently. Is that a fair way to characterize it? Or -- just wanted to be clear on that. 
Laura Prieskorn: Yes. I think you've got that right, Tom. 
Thomas Gallagher: Okay. And then just as we think about the actuarial review for next quarter, recognizing it's a process, you're not going to front run it. Going into it, are there any assumptions we should be thinking about that may get revised, such as long-term separate account return assumptions that does appear to be a bit higher than some others in the industry or policyholder lapse experience? Anything kind of high-level you think might come under more review when you go through that? 
Laura Prieskorn: Well, I guess I would say one thing to share is that our annual review process is generally one where we take a comprehensive look at everything and typically would make small adjustments if we see experience emerging in certain areas so that we avoid the likelihood of large changes from time to time because we're just kind of keeping up with the experience. 
 And so that tends to result in potentially a few small adjustments here and there. And then depending upon what's emerging in the experience, we just take that into account. But I would say from the cycle that we're working through right now, we are still in the process and don't want to front run anything in particular, but this is not a year that we've identified really notable items. 
 This has been more of a typical process of sorting through the experience data, looking for a kind of new emerging experience that would inform any adjustments. 
Thomas Gallagher: Okay. That's helpful. And one final one on that. Can you disclose what you're assuming for interest rates in your accounting in terms of a 10-year treasury mean reversion assumption, what that number is? 
Laura Prieskorn: Well, we have not disclosed that in the past. We have -- when you think about our business and the fact that, that type of an assumption doesn't apply directly to the majority of our business, particularly within the VA. You've already noted we have a longer-term separate account growth assumption there. We don't define that as being tied directly to a 10-year treasury per se. 
 But the rest of our business where future interest rate assumptions play into the projection of benefit payments or gross profits, those are quite immaterial to our business. So we do have maybe a simplified approach in terms of how we set that up. It doesn't necessarily lend itself to a specific 10-year treasury. But that's just not a material assumption in our reserving methodologies given our mix of business. 
Operator: This concludes the Q&A session. So I'll hand it back to Laura for closing remarks. 
Laura Prieskorn: Great. Well, thank you for joining us on our call today. We look forward to speaking with you again in the future. 
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines.